Operator: Good afternoon, and welcome to the IDT Corporation's first quarter 2015 earnings conference call. [Operator instructions.] In today's presentation, IDT's Chief Executive Officer, Shmuel Jonas, will discuss IDT's financial and operational results for the 3- and 12-month's periods ended October 31, 2014. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation to either update any forward-looking statements that they have made or may make, or to update the factors that may cause actual results to differ materially from those they forecast. In their presentation or in the Q&A, IDT's management may make reference to the non-GAAP measures adjusted EBITDA, non-GAAP net income, and non-GAAP EPS. A schedule provided in the earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP EPS to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website, www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. Finally, please note this event is being recorded. I would now like to turn the conference over to IDT's Chief Executive Officer, Shmuel Jonas. Please go ahead.
Shmuel Jonas: Thank you very much. My remarks today will focus on key operational and financial results for the first quarter of our fiscal year 2015, the three months ended October 31, 2014. Throughout my remarks, unless otherwise indicated, the financial results I discuss are for that quarter and are compared to the first quarter of fiscal 2014. For a more comprehensive and detailed discussion of our results, please read our earnings release issued earlier today and our form 10-Q, which should be filed later this week. Following my remarks, Marcelo Fischer, IDT Telecom’s chief financial officer, will join me and we’ll be glad to take your questions. As most of you know, we closed on the sale of our stake in Fabrix this quarter and reported a $75.1 million gain as a result. Subsequently, our board declared a special dividend of $0.68 per share. In addition, and in light of our recent results, we have raised our quarterly dividend to $0.18 per share from the $0.17 per share we paid quarterly in fiscal 2014. As I mentioned last quarter, we are looking at several options for the remaining cash from the sale, including acquisitions, stock buybacks, and additional special dividends to shareholders. We will provide more information when developments warrant. Turning now to our operational results for the first quarter of fiscal 2015, revenue on a consolidated basis was $412.9 million compared to $420.7 million in the first quarter of 2014. At IDT Telecom, which accounted for 98.4% of our total revenue, revenue was $406.1 million compared to $415.8 million. Boss Revolution Pinless continued on a solid growth trajectory. Revenues increased 17.2% year over year and 2.9% sequentially. We continue to enjoy healthy customer growth, offset somewhat by declining ARPU, driven by declining permanent rates and costs. For the remainder of the fiscal year, we continue to expect year over year double digit revenue growth. Boss Revolution Pinless comprises the major of retail communications revenue. As in prior quarters, its growth was partially offset by revenue decreases in other retail communications products, including sales of traditional calling cards here in the U.S. and overseas. Overall, retail communications revenue increased by $10.1 million to $182.6 million. Wholesale termination services revenue was $159.7 million, compared to $178.6 million in the year ago quarter. Minutes of use increased over 3%, but on average we carried more minutes to lower revenue permanent destinations than we did in the year ago quarter. We also generated significantly less revenue from the pricing shift opportunities in Latin America that we’ve previously discussed. Payment services revenue increased year over year to $51.2 million from $50.1 million a year ago. International mobile top-up sales, which are the dominant component of this vertical, continued to grow modestly, but are under intense marketing pressure. Although money transfer is not yet a meaningful contributor to payment services revenue, we continue to achieve robust growth in number of transactions and dollar volumes in active customer base. We are launching aggressive promotions during this holiday season intended to further gain name recognition in this space and market share. Elsewhere in the company, Zedge increased revenue to $2 million from the $1.4 million in the year ago quarter, an increase of 40.9%. Several positive trends are at work here. Zedge continues to improve its user experience, and as a result is growing its Android daily average users rapidly, up 60% year over year while gaining incremental revenue from its games channel. In addition, Zedge has significantly refined and improved its ability to monetize its mobile offerings and will continue to roll out several significant additional monetization focused enhancements in the year ahead. Zedge contributed $577,000 in adjusted EBITDA in the first quarter, the first time also that it has surpassed the $2 million annual run rate mark. Looking at, Zedge is on track for a strong year. Returning now to IDT on a consolidated basis, SG&A decreased from $57.8 million to $57 million on reduction in corporate overhead and SG&A expense in our all-other vertical, which more than offset increases at Zedge and IDT Telecom. IDT Telecom’s SG&A increase is mainly due to higher personnel costs, including expansion of our internal sales force and more aggressive Boss Revolution marketing. We are, however, intent on restraining growth in SG&A expense in our core communications business. Accordingly, at the end of the first quarter, we implemented some large cuts to our sales and administrative personnel in Europe. By the way, corporate G&A expense has now declined for the fourth consecutive quarter and our corporate run rate is under $12 million a year, compared to $14.8 million in fiscal 2014. IDT’s adjusted EBITDA increased slightly year over year to $10.4 million from $10.3 million, consistent with our forecast of steady to slight growth during fiscal 2015. IDT Telecom’s adjusted EBITDA decreased to $11.4 million from $15.3 million, but improvements at Fabrix and Zedge and declining corporate G&A more than made up the difference. IDT’s depreciation and amortization expense was $4.4 million compared to $3.9 million, reflecting higher rates of capital expenditures in recent quarters as we invested more heavily in developing new products and capabilities. Consolidated income from operations, which includes the $75.1 million gain on the sale of Fabrix, jumped to $79.6 million compared to $7.3 million in the year ago quarter. This quarter’s results were also impacted by severance expense of $1.5 million resulting from the layoffs I mentioned earlier. Meanwhile, in the year ago quarter, we had a $900,000 net gain, mostly from legal matters and insurance proceeds. Net income attributable to IDT increased to $80.2 million from $3.5 million in the year ago quarter and diluted EPS increased to $3.47 from $0.15. The impact of the Fabrix sale and deconsolidation [activity] has materially impacted our quarter end balance sheet dated October 31. Let me quickly highlight some of these changes for you now. We added a net $36 million in cash and reported an increase in short term and long term receivables relating to proceeds from the Fabrix sale of $31.5 million. These receivables include approximately $8.5 million being held in escrow for certain contingencies as well as roughly $23 million waiting to be released to IDT by a mutually appointed escrow agent upon acknowledgement of the tax-free status of the Fabrix sale transaction by the Israeli tax authority. Because Fabrix was deconsolidated, trade accounts receivable net declined by $5.5 million, accrued expenses decreased by $4.5 million, and deferred revenue decreased by $11 million, among other changes. The net of all of it is that our balance sheet, which has been strengthening quarter over quarter for a few years now, was significantly bolstered by the sale of Fabrix. In that regard, it is worth noting that the company’s net book value per share grew in the latest quarter from $436 as of July 31, 2014 to $692 as of October 31, a 59% increase. That concludes my discussions of results this quarter. Before taking your questions, I want to touch on a few of the new products and features that we are bringing online and which we hope will be enhancing results in the periods to come. On our Boss Revolution platform, we recently introduced two flat rate calling services. Our Call Me service provides customers here in the U.S. with a local number back home in any of the 22 countries, including Mexico. Their friends and family back home can now reach them here in the U.S. by dialing that local number, thus avoiding international calling charges. In addition, just last week, we launched Boss Revolution Unlimited. Boss Revolution Unlimited customers can make unlimited calls to any of 50 countries, including to landlines in Mexico, for just $5 a month. Both of these flat rate services will be featured on the launch of our new Boss Revolution web and mobile site, which is set to go live tomorrow morning. And of course, they’re available at any of our retail locations around the country. We also continue to expand our payment products portfolio with the launch earlier this month of virtual gift cards. Our customers can now purchase electronic gift cards to some of the country’s best known retail chains and send them to friends and family anywhere in the U.S. Early next year, we will be introducing Presto, an exciting free messaging service utilizing the technology we obtained earlier this year through the acquisition of HD Messaging, since rebranded as IDT Messaging. The IDT Messaging engine will also be a large part of the new and much improved version of the Boss Revolution app to be launched towards the end of our fiscal year. The new app will have lots of added functionality, including messaging and peer to peer calling, and we expect it will become a go-to resource that will drive new customer growth. Innovation is not limited to the retail side of our business. Our wholesale business recently executed its first three deals to provide a white labeled Boss Revolution-like app to telecom providers in Asia and Africa, and there is a lot of potential for this business. Also on the wholesale side, we will be deploying our portal early next year, which will allow telecom and service providers overseas to offer customized white labeled international mobile top-up services for their customers. That concludes my remarks, and now Marcelo and I will be happy to take your questions. Operator, back to you for Q&A. Thank you.
Operator: [Operator instructions.] And our first question comes from Jay Srivatsa of Chardan Capital Markets.
Jay Srivatsa: I know you don’t provide guidance, but your Q2 has tended to be roughly flat sequentially from Q1 in the past. Is that still the trend you expect, or is there anything to change the pattern?
Shmuel Jonas : I don’t think that there’s anything to change it dramatically. I mean, business is increasing, but not dramatically.
Marcelo Fischer: Just to remind you that in Q1, we still had two months of activity of Fabrix, which of course will not repeat itself in Q2. So if you want to look apples to apples, you have to remove those months of activity for Fabrix.
Jay Srivatsa : In the previous earnings call, you had commented about how the increase in SG&A could potentially depress the EBITDA for next year. Now that you believe that SG&A expenses have been down, is there any change to your expectations for EBITDA for fiscal 2015?
Shmuel Jonas : Again, I don’t expect it to be quite as strong as 2014 was on the top line for telecom, but I expect it will be a little better than we had budgeted for.
Jay Srivatsa : And then in terms of the money remittance business, can you give us an update on how many states you have licenses now, how many agents and retailers have you signed up, and is there any change to the timeline in terms of when it can become meaningful?
Shmuel Jonas : I’m going to let Marcelo answer that question.
Marcelo Fischer : Sure. In terms of states that we are licensed, today we are licensed in every state except for the state of New York, for which we are still waiting to receive a license. We keep following up every few weeks, and we’re just waiting for that license to come. So from a licensing standpoint, we are able to go anywhere we want right now and launch the product. But for this fiscal year, we have limited ourselves to launch this service only to 20 states, and intend to execute on that plan for the time being. Some of the more [trophy] states, like California and eventually New York will be deferred until the next fiscal year. In terms of number of agents, we keep on adding agents at a fast pace. At this point, we have more than 350 active agents and we keep on adding anywhere between 10 to 30 every week. So it’s ramping up, and [unintelligible] ramping up as well.
Jay Srivatsa:  In the past, you had looked at spinning of Zedge. Any progress to that, and any update, please?
Shmuel Jonas : We don’t have any updates yet. I think Zedge is really starting to blossom, but rather than I guess overpromise and underdeliver, I’d rather underpromise and overdeliver. But we’re very excited about where Zedge is going.
Operator: Our next question comes from John Rolfe of Agrand Capital. 
John Rolfe: I think you said that you were still expecting double digit year-to-year revenue growth in retail communications for this fiscal year. And that’s versus, if my numbers are right, what was about 6% growth in the first quarter here. So you’re expecting, I guess, an acceleration in the growth rate in the remainder of the year, and at the same time, you mentioned that you had actually laid some salespeople off. So I’m just trying to reconcile those two countervailing trends there. Is the growth in the remainder of the year being driven in large part by some of those new products that you talked about?
Marcelo Fischer : Our guidance has been that Boss Revolution Pinless would continue to grow double digits year over year. We have said in the past that total retail communications, which includes also our traditional calling cards, which are actually in decline, that will probably continue to grow at the low single digits. So our guidance hasn’t really changed, and we think that the results in Q1 is very consistent to the guidance that we have provided. In terms of your comments on some of the cuts that we have made, that was a strategic decision. It affected primarily our retail business in Europe, which has seen a lack of growth for quite a while. So we decided to downsize it a bit to make sure that that business continues to be profitable for us. We [impacted] the U.S. just a little bit, and adopted here in the U.S., when it comes to the [turn] of sales force. We continue to add our top managers to run that business, to expand Boss Revolution’s footprint into other states and to hire more specialized account managers in the payments area. We continue to do so at the same rate that we have been doing thus far.
John Rolfe : I think I heard you say that you were expecting, with respect to EBITDA, sort of flattish EBITDA to possibly a slight increase. I guess A, is that what I heard you say earlier in the call in your prepared remarks, and secondly, if so, were you talking about EBITDA on a consolidated basis or in [TPS] or what exactly were you referring to?
Marcelo Fischer : First of all, we need to realize that the EBITDA on a consolidated basis will go down because of the deconsolidation of Fabrix. Fabrix used to bring roughly about a million dollars of EBITDA on a quarterly basis, so now you have to adjust the EBITDA downwards on a consolidated basis for the lack of Fabrix. Excluding Fabrix, our objective is to continue to deliver EBITDA probably at the same levels that we are at right now. Obviously, if we see more opportunities to grow, especially our payments businesses, a little faster, we may increase some SG&A spending behind marketing and some other promotional activities, which may have a relatively small impact to EBITDA. But if we decide to do so, it’s because we really believe that it’s going to be good [unintelligible] on that investment, and we will look forward, if we have to reduce EBITDA a bit in order to grow that business a little faster.
John Rolfe : So just to confirm what you just said, then, absent seeing the ability to invest more on the sales and marketing side, the current quarter run rate for EBITDA is a reasonable sort of proxy going forward, and then subsequently adjusting for, I would assume in this quarter, what you had two months of Fabrix, so I need to take the current quarter run rate, back out a little bit of EBITDA because Fabrix disappeared, and your goal would be to sort of maintain that run rate for the year. Is that correct?
Marcelo Fischer : Yeah, correct. To be precise, this quarter Fabrix delivered a million dollars of EBITDA to IDT in Q1.
John Rolfe : So then when I look at the consolidated EBITDA for the quarter, which was about 10.5, you’re saying ex Fabrix, it was closer to 9.5, and that’s sort of the run rate.
Marcelo Fischer : 9.4 to be precise, yeah.
John Rolfe : And last of all, I think when you had talked about some of the acquisition opportunities you were looking at on the last call, you had said there was one that could be reasonably material in size and in addition there were a number of smaller opportunities. Are all of those still alive? Have any of them dropped away at this point? Has anything really changed in terms of the range of opportunities that you were looking at last quarter?
Shmuel Jonas : I would say the largest one we were looking at is looking a little bit further off than we would hope. However, a bunch of the smaller ones we’re looking at are still there and we’re still looking at them.
Operator: This concludes our question and answer session and conference call. Thank you for attending today’s presentation. You may now disconnect.